Operator: Welcome to Stantec's Second Quarter 2022 Earnings Results Webcast and Conference Call. Leading the call today are Gord Johnston, President and Chief Executive Officer; and Theresa Jang, Executive Vice President and Chief Financial Officer. Stantec invites those dialing in to view the slide presentation, which is available in the Investors section at stantec.com. Today's call is also webcast. Please be advised that, if you have dialed in while also viewing the webcast you should mute your computer as there is a delay between the call and the webcast. All information provided during this conference call is subject to the forward-looking statement qualification set out on slide 2, detailed in Stantec's management discussion and analysis are incorporated in full for the purposes of today's call. Unless otherwise noted, dollar amounts discussed in today's call are expressed in Canadian dollars and are generally rounded. Please go ahead. 
Gord Johnston: Good morning and thank you for joining us today. We're very pleased to report another strong quarter of operational and financial performance. Our second quarter and year-to-date results are tracking very well against our strategic objectives. And as such, we remain confident that, we will deliver on our targets for the year. There are two highlights for the quarter that, I want to touch on before turning to our financial results. The first is an update on Cardno. The integration is progressing very well and is in line with the expectations that we outlined at the time of the transaction. We've already achieved our target of US$10 million in run rate synergies, 18 months ahead of schedule and we continue to identify opportunities for additional savings. The Oracle financial systems migration in Australia and New Zealand is largely complete, and we're in the final stages of the transition. The US integration is in full flight and is progressing nicely. There's still a lot to be done. However, we expect this to be completed before the end of the year. The second highlight that we are very proud of is that Stantec continues to be recognized for our leadership in ESG. For the 13th time, we were recognized as one of Canada's best 50 corporate citizens by Corporate Knights. We're honored to have earned this recognition, receiving top quartile scores this year for employee, health and safety, Board and executive gender diversity, racial executive diversity, and clean investments. This recognition affirms that our long-standing commitment to advancing ESG is having a real impact towards a more sustainable future, and we're very proud of the difference that Stantec is making. Turning now to our Q2 results. We are pleased to have delivered a 34% increase in adjusted EPS. We generated 9.4% organic net revenue growth. And consistent with Q1 we delivered organic growth in every one of our geographic regions and in each of our business units. This reflects our ongoing ability to capitalize on the key drivers that I've spoken about previously, and then I'll talk more about towards the end of the call. A common thread through many of these projects is the need for the skills of our Environmental Services business, which delivered a 54% increase in net revenue, of which 12% was from organic growth and 40% was generated by our recently completed acquisitions. Our Q2 results also reflect very favorable margin expansion with an 80 basis point increase in project margin, and a 60 basis point increase in adjusted EBITDA margin. Taking a closer look now at each of our geographic regions. The level of activity in our US business continues to gather momentum. In Q2, net revenue increased by 27% with 9% organic growth, and 14% acquisition growth. We're pleased to have delivered organic growth across all of our business units, as we did last quarter. And this is a reflection of the robust level of investment occurring in the US. Investment in the re-shoring of semiconductor production has driven a significant amount of activity across multiple business units. Environmental Services net revenue grew by over 80%, and continued to be the biggest contributor to US revenue growth. The combined Stantec Cardno team is very well positioned to address the strong demand for environmental assessment, permitting and cultural resources work in addition to ongoing monitoring and ecosystem restoration efforts. Water shifted into double-digit growth as activity ramped up on several major projects to address industrial and advanced manufacturing project needs and water scarcity in the Western US. And buildings continued its post COVID recovery with another quarter of organic growth, driven by the need for increased health care capacity, and investment in the civic, industrial, and science and technology sectors. Canada also continued to perform well, delivering 5% organic growth in the quarter. Consistent with the themes playing out in the U.S., our Environmental Services business in Canada had a very strong quarter, delivering double-digit growth on the strength of high demand for permitting work and our archeological services. Infrastructure delivered strong growth, arising from the strong housing market in Western Canada. Organic growth in our transportation sector also reflects our continued support of British Columbia's recovery efforts from the extreme flooding that occurred last year. Buildings continued to deliver organic growth on the strength of major public projects, in health care and science and technology. And growing momentum behind the energy transition and global food security initiatives, continued to spur growth in energy and resources. And rounding out our geographic regions is Global, which had another remarkably strong quarter. Net revenue in our global region grew by 40%. Every business unit in Global grew organically in Q2 delivering 17% organic growth. Recent acquisitions delivered a further 27% growth. The strong financial results Global has generated year-to-date reflect the maturing of acquisitions made in recent years. And we're pleased with the way that we're performing together under the Stantec banner. Water continues to perform very well, delivering almost 20% organic growth on the strength of the U.K., Australia and New Zealand water framework programs. Infrastructure has doubled its net revenue, with very strong growth in Community Development and acquisition growth in Transportation. And our Mining Sector delivered organic and acquisition growth on strong commodity prices, client diversification and the listing of pandemic-related restrictions. With that, I'll turn the call to Theresa, to review our Q2 financial results in more detail.
Theresa Jang: Thank you Gord and good morning everyone. As Gord noted, we had a very strong quarter, with an overall 21% and 23% increase in gross and net revenue, respectively. Project margin grew by 25% and by 80 basis points as a percentage of net revenue and this reflects our continued focus on project execution and our heightened diligence in project pursuits. We delivered a 27% increase in adjusted EBITDA, reflecting the overall growth of our business. Adjusted EBITDA margin was 16.7%, 60 basis points higher than Q2 2021 resulting from strong performance across the business. Net income and EPS decreased slightly to $61 million and $0.55 per share, as increased EBITDA was offset by higher acquisition-related costs. We also recorded an unrealized fair value loss associated with our equity investments held for self-insurance liabilities. Adjusted net income and adjusted EPS increased, 33% and 34% respectively to $93 million and $0.83 per share, reflecting very strong earnings from our underlying operations. Operating cash flows decreased to an outflow of $4 million for the quarter. Cash flow was primarily disrupted by the Cardno integration, due to the financial system migrations for both Australia and the U.S. operations occurring during the second quarter as we had outlined in our Q1 earnings call. To a lesser extent, Q2 cash flow was also impacted by investment in working capital to support the organic revenue growth. We view these causal factors as purely matters of timing, which will contribute to stronger cash flows in the second half of this year as the effect of the financial system migration dissipates and processing times normalize particularly in Q4. And we've already seen cash flows pickup in Australia after quarter end which was the first of the Cardno migrations to occur this year. We continue to be active with our NCIB earlier in the quarter, repurchasing just over 625,000 shares for $37 million. Consistent with the change in our operating cash flow our DSO is up three days from last year to 79 days. All of these factors coupled with the funding of Cardno and other acquisitions in the past 12 months resulted in our net debt to adjusted EBITDA being at 2.0 times, the upper end of our internal range. As our cash flow normalizes over the remainder of this year, I'm confident that our leverage will return to the middle of our target range by year-end. I'm going to turn the call back to Gord now, to review our backlog and outlook.
Gord Johnston: Thanks, Theresa. Our outlook continues to be very, very strong at a record $5.8 billion. We grew back organically by 13% since the end of 2021 and again delivered organic growth in every geographic region and in each business operating unit. Most notably, we achieved almost 30% growth in Energy and Resources and over 20% growth in Infrastructure, and Buildings also achieved double-digit growth. Our backlog represents approximately 14 months of work, which is a high watermark for us. Before I turn to the outlook for the remainder of the year, I want to comment briefly on the risk of a potential slowdown as a result of inflation and a possible recession. We continue to monitor the situation carefully and have not seen any material slowdown in project or pursuit activity to-date. And as we discussed this with clients the consistent feedback that we received is that the risk of cost increases is being outweighed by the need to address a number of pressing challenges, including aging infrastructure, climate change and production capacity constraints, and the reshoring of domestic production. And these imperatives continue to translate into investments in major project awards across all of our business units. In Canada, our water business was successful in winning two significant projects. The Buffalo Pound Water Treatment Plant Renewal Project in Saskatchewan and program management consulting for the Iona Island Wastewater Treatment Plant Program in Vancouver, which is the largest capital program ever undertaken by Metro Vancouver. In the United States, we won a contract with the Nebraska Department of Natural Resources to conduct floodplain modeling and mapping. And we've also won awards in Hawaii and Indianapolis, which support clean transportation to help our clients reach their climate goals and objectives. And in our global operations, we were awarded a transportation framework project in Scotland to support climate change adaptation and decarbonization. With respect to capacity constraints and reshoring of domestic production there are dozens of projects that we're working on in different industries, including in technology with semiconductors, healthcare with vaccine production, and logistics and fulfillment centers to shore up supply. We are seeing significant government funding flowing into these areas. As we look forward the rest of the year, we are very confident in our ability to achieve our financial targets. Our backlog has never been higher having grown by well over $1 billion in the past 12 months and we continue to see project opportunities accelerate. Significant US federal funding is moving forward and even with cost escalation; our clients expect critical infrastructure projects will advance. Private investment also remains robust, and especially, in areas of water and food supply and resiliency, healthcare and industrial. And in some instances, federal funding is helping drive private investment and there's no better example of this than the billions of dollars directed towards the reshoring of semiconductor manufacturing. In late July both the US Tenant and House passed a $280 billion CHIPS and Science Act. From this $52 billion will go to support semiconductor chip manufacturing, including $39 billion for plant construction. Passage of this act was critical for many CHIP manufacturers to move forward with private investment and we are already working with five of the top 10 semiconductor manufacturers. And the strength that Stantec brings to projects at this scale is our ability to provide multidiscipline expertise. Our environmental experts, architects, transportation and water engineers all play critical roles in bringing these facilities into reality. Europe has also passed similar legislation to reassure semiconductor production so the opportunity for Stantec is tremendous. Looking ahead, our outlook for the remainder of 2022 has not changed from the guidance we provided at the start of the year and I believe Stantec remains very well-positioned to capitalize on the opportunities ahead. With that, I'll turn the call back to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] We will now take our first question from Devin Dodge from BMO Capital Markets. Please go ahead.
Devin Dodge: Thanks. Good morning, Gord. Good morning, Theresa. The growth in the backlog year-to-date has been really impressive. Can you speak to how your bid pipeline looks what you see right now and how that compares to maybe 6 months to 12 months ago? 
Gord Johnston: You know, the opportunities that we're seeing we have a system we call our Stantec opportunity pipeline. And so we do track projects that come in. And it's interesting that we're seeing continued strengthening of projects in the backlog. And so, I think that -- or sorry in the pipeline. So I do think that as we see these projects in the pipeline, they'll come through the bid process. And so I think, we see positive support for the backlog growing either even further, as we progress through the rest of this year and into 2023.
Devin Dodge: Okay. Okay. And then maybe just continuing on with that. Can you speak to your success in your hiring efforts to expand the workforce? I'm just trying to understand, if there was a significant net addition of employees in Q2 and if this is expected to continue into the second half of the year?
Gord Johnston: Yes, absolutely. And so, one of the things that we've talked about is that, we -- through this period of uncertainty, we want to continue to be a net importer of staff of our employee base. And so, through all of 2021, through Q2 of 2022 as we talked about previously and now I can confirm in 2023, we hired more people than who left us. And so, our headcount continues to grow. And in fact, we're up to a little over 26,500 people now. So, we've had success in those onboarding efforts. We continue to grow organically our employee base and we look for that to continue for the remainder of the year.
Devin Dodge: Okay. Thanks for that. Congrats on Q2. The result is really good. I'll turn it over.
Gord Johnston: Great. Thanks, Devin.
Operator: We will now take our next question from Jacob Bout from CIBC. Please go ahead.
Jacob Bout: Good morning.
Gord Johnston: Good morning, Jacob.
Theresa Jang: Good morning.
Jacob Bout: So strong double-digit organic growth in the Environment and Water business. Do you expect this to normalize in the quarters ahead, or do you expect to see a step change going into 2023? And maybe talk through some of the revenue synergies from Cardno?
Gord Johnston: Sure. The environmental business continues to be really, really robust. And so I think that we continue to see really positive performance in that group going forward, not just in North America, but in our global operations as well. And the types of synergies that we're seeing are projects where, previously Cardno perhaps would have to sub out or hire someone else to do archeological work. And now they hire Stantec for it. Where we have projects, where Cardno was strong in one geography, Stantec was stronger in a different geography, we're not to offer this -- more of these combined skill sets to our clients and take on larger and sort of more geographically diverse projects. So, we're seeing a lot of synergy there. We -- when we went into the transaction, we certainly foresaw that we'd have good linkages, good integration between the group and generate synergies. And actually, it has really exceeded our expectations.
Jacob Bout: And with the Cardno Cox|McLain acquisitions, are you rightsized in environmental now, or and maybe just talk through strategically, how you're thinking from an M&A perspective for your end market mix?
Gord Johnston: Yes. The environmental business continues to expand. So even though, we've significantly grown the size of our environmental practice with bringing together Stantec Cardno Cox|McLain. They are at a Paleo this year as well. There are continued opportunities to grow that business. So, we're going to continue to look there. We're -- there's a lot of midsized environmental firms in the US that would really fill in additional geographies for us. So, we're always in conversations with these types of firms. So, yes absolutely not, what we consider ourselves to be done in the environmental space from both an organic and an acquisition growth perspective.
Jacob Bout: Thank you.
Gord Johnston: Great. Thanks, Jacob.
Operator: We will now take our next question from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks, folks. I guess my first question is just thinking about your SG&A costs. Maybe, now that we've had a couple of quarters of call it a more normal run rate with activity in books back in offices and things like that. Just wondering, how you're feeling about some of the initiatives you guys have undertaken so far with real estate and really your confidence in being able to leverage the existing SG&A, or how should we be thinking about needing to add to support further growth as we go forward?
Theresa Jang: Sure. So as far as our admin and marketing costs -- so relative to pre-COVID, we're still seeing that discretionary costs are lower and that has been kind of the expectation that we had established in the business that they would not return to pre-pandemic levels. They are certainly higher than last year and that was also to be expected as people begin to continue to travel more and get out to see clients. And so that has had a contribution to our increased admin costs this year, but I don't expect that they are going to continue to rise. I think they have in some degree levels off. We're also seeing this year, in our -- in that bucket of cost higher integration and acquisition costs, the impact of Cardno, as you noted Cox|McLain and Barton Willmore, those being farther afield. They do have significant costs associated with those. And so we do have an increase in those costs as well. And so, those things together are going to contribute but I think in a lot of ways have leveled off. I think as far as investments that we're making and we're continuing to focus on our business development efforts on major pursuits. And that is contributing as well to slightly higher admin costs as we move forward. And there's always other elements, there's so many costs that sort of flow through there. There are puts and takes all the way around. Our real estate, which you asked about as well and you'll recall that that sits outside of admin and marketing. And we're continuing to advance our optimization strategy that we began early last year and continue to be on track, we believe to deliver on reducing our footprint by about 30% that we had talked about relative to our 2019 footprint and where Cardno is concerned, certainly, they have many office locations that we are now sort of midway through that process of evaluating what the landscape will look like? Where there are opportunities to consolidate spaces and so on there.
Chris Murray: Okay. Now that's helpful. Thank you very much. There's a lot of things going on. And then the other thing the question and maybe Theresa again maybe this one is for you. Right now with the close of Cardno, you're really near the top of your leverage range. I guess free cash flow, as you noted or operating cash flows should improve in the second half but we've also noticed you guys buying back some stock. Do you feel any pressure to have to get that leverage level down a little bit just to support being able to do further acquisitions? I know you're still kind of inside your range, but at the top of it. How are you thinking about maybe wanting to walk that back over the next few quarters as maybe just one curious about.
Theresa Jang: Yes, for sure. So again, as I noted in my comments, we do see the first half of this year as being somewhat of a temporary dynamic. And I'm quite confident that that will normalize in the second half of the year. We're already seeing evidence of that, particularly, as we come out of the integration -- the financial piece of the migration at Cardno. And so, I wouldn't say that I feel pressure. It's always important to me to maximize our cash flows and have as much space as possible available on our credit facilities. I don't think it hampers us in any way in terms of our growth ambitions. Access to capital remains strong. And so, I think that we'll just continue to execute on our plan through the rest of this year and beyond. And as we continue on our M&A journey that as opportunities come up, we will fund them appropriately. I think we'll continue to have good capacity on our balance sheet and without having to go out and tap equity markets for the kinds of acquisitions in the size and scale that we have said we were pursuing.
Chris Murray: Okay. Thanks, folks.
Gord Johnston: Thanks Chris.
Operator: We will now take your next question from Michael Kypreos from Desjardins Capital Markets.
Michael Kypreos: Yes. Thank you and good morning, everyone. 
Gord Johnston: Good morning, Michael.
Michael Kypreos: Thank you. Thanks. Some of your peers have been very active in M&A in the last few months. With the early success of Cardno, have you thought about a larger transaction, or is it still the medium to small with 1,000 employees or less?
Gord Johnston: As we've kind of been talking about over the last couple of quarters we continue to look at acquisitions of all different sizes. And well we have certainly seen some of that activity in the marketplace. But we'll stick to our knitting. We are making what we believe to be long-term decisions for the long-term sustainability of Stantec and shareholder value accretion. So yes, we're looking at all different types of firms, different geographies and different sizes. And in due course, we'll probably have an opportunity to talk more with you about that. 
Michael Kypreos: Thank you. Thanks for the color. And then maybe just secondly on, the US Biden infrastructure plan. Have you seen any more clarity or any early signs, or is it really more of a still a 2023 story? 
Gord Johnston: Yes. So with the big one of course, is the IIJA. And we are seeing that the 2022 funding from that has been disbursed to the various agencies. We're currently working on projects, related to that as well. But we do see, more and more projects coming out. And while we are generating some revenue from it now. It certainly will be -- will continue to strengthen, through the second half of this year and really into 2023, and provide support even from -- for years beyond that. But in addition to that, the IIJA, there's the CHIPS and Science Act that I think will continue to spur additional development in the semiconductor industry. And as we've talked about, we're already working on several projects related to semiconductor manufacturing and with five of the top 10 manufacturers around the world. But then we also see, additional supports from the Inflation Reduction Act really from the perspective, of what that could do from a renewable power perspective and renewable fuels, EV, charging infrastructure and so on. So, I think we see a lot of strong supports coming for Stantec and for our industry overall, through the remainder of 2022 2023 and beyond. 
Michael Kypreos: Perfect. Thank you. Great color and looking forward to third quarter. 
Gord Johnston: Great. Thanks, Michael 
Operator: We will now take our next question from Mark Neville from Scotia Bank. Please go ahead. 
Mark Neville: Hi. Good morning, Gord. Good morning, Theresa. 
Gord Johnston: Good morning, Mark.
Theresa Jang: Good morning, Mark.
Mark Neville: Good morning. Earlier in your comments Gord you said, you've already achieved I think the $10 million synergies from Cardno. But when you're talking about the synergies, it's a lot more like revenue and some project pursuits that you won. But -- so I just want to clarify, $10 million to date has been on the cost side. Anything that's revenue or real estate would be additive? Is that correct? 
Gord Johnston: Well, you're, right. The $10 million that we spoke about was on the cost side. And that would include real estate. That would include things on IT systems, and insurance and all those sorts of things, that we've been working through -- but in addition to that, separately from that and actually, we didn't disclose the number on the revenue side, but we have hundreds of joint projects that are underway. And so, yes that $10 million that we spoke about, that was really only the cost run rate synergy that we had talked about and we have achieved that already, ahead of schedule and that's really just because of the -- I think the strong integration and the way that our teams are working together. This isn't Stantec just coming up with ideas, on how we can collectively reduce cost Cardno's doing the same. And sometimes they're coming and saying Stantec if you did this collectively, we could reduce cost. So it's actually been extremely positive. 
Mark Neville: Great. That's great. And just on the real estate opportunity at Cardno, would it be material? Again like I think you guys were taking 30% of your footprint out. So, I just from 2019. So I'm just curious the opportunity to size Cardno. 
Theresa Jang: Yes. It's hard for me, to quantify at this stage. We're just not far enough along yet, Mark to know. But I think, it could be significant but we're continuing to do that work. We'll have more to say, when we're further along. 
Mark Neville: Got it. And just a follow-up on the M&A. I guess two-part question. Just in terms of -- with the Cardno going so well, and would you feel comfortable doing something sooner, o is the main focus to integration in the second part. Theresa, I think in response to Chris’ questions. You mentioned something about equity this wasn't -- I didn't -- I wasn't quite sure like how he said. Thanks.
Gord Johnston: Sure. Maybe, I'll start on the first part. A lot of these opportunities for more substantial M&A opportunities, are really opportunistic. It's -- we're always in different levels of discussion with firms and it really is when they're ready to come. We -- as you say Cardno, is going very, very well. And so if there was something that was ready to come, would we hold off on it? No, I don't think we would. I think we'd be ready to move forward. But we also won't move forward and just do something, because others have been. We're going to keep our discipline and we'll act when the time is right. And maybe I'll pass it to Theresa for that other question.
Theresa Jang: Yes. So the point I was trying to make Mark is that in response to the question of what our leverage being at the upper end of our range, and like that hamper us from doing M&A at this point and the response is no. And as I look out towards the rest of this year, we're such a strong cash flowing business that really has not changed. So we've seen a couple of temporary dynamics that disrupted cash flows for the first half of this year, but that will normalize. And so to that extent we will have a strong balance sheet. We will have lots of capacity on our balance sheet to be able to fund the general size of acquisitions that we think about. Now certainly a bigger acquisition and I can't take equity completely off the table. But as far as thinking about the kind and size and scale of the acquisitions we've done, there's not a concern on my part that we're over levered in and I'd be required to issue equity.
Mark Neville: Got it. And if I can ask one last question. Gord, you mentioned a few times semiconductor manufacturing. Just how significant an opportunity are these chip foundries for you guys to go up?
Gord Johnston: Yes. What's interesting when you think about like a semiconductor manufacturing facility other than the actual equipment that goes inside the building to manufacture the chips Stantec can do the rest of it. All the water and high-purity water just general water and wastewater the buildings, the site civil the permitting like we do all of that work. And so as we're talking with a number of these clients that's particularly attractive to them that we have one firm that can provide that multidisciplinary experience for everything except what's inside the building and there's others who do that. So I think that's an area. But in addition to semiconductor manufacturing, there's a lot of other reshoring that we're seeing. We've just I think maybe even more focused on talking about semiconductors, because it's an area that we're doing a lot in, and it's certainly on everyone's mind these days, but we're working on vaccine production facilities. We're working on other renewable energy sort of equipment set facilities solar panels, different things like that. So we're doing a lot of work like that Mark and it's really an exciting area for us. So I think all of these things combined is also a very, very strong tailwind for us for actually for many years to come. 
Mark Neville: Right. Thanks for the color. Good quarter and yes, good luck. Thanks.
Gord Johnston: Great. Thank you.
Operator: We will now take our next question from Bryan Fast from Raymond James. Please go ahead.
Bryan Fast : Yes. Good morning, Gord, Theresa.
Gord Johnston: Good morning.
Bryan Fast : I guess as you look at the backlog, are you seeing a higher rate of projects, I guess, pared back or rescoped and just maybe some comments on the health backlog just given the shifting macro backdrop.
Gord Johnston: Yes. So it's interesting as we look at the backlog, it's very healthy. The gross margin or the project margin in there is healthy. So we feel good about that, and the -- we haven't really seen as I mentioned in the prepared remarks, we've seen some projects maybe people are talking about pushing them up to the right, but nothing material. And so to your point about with inflation and cost escalation are we seeing anything on projects? What we are seeing is sometimes is that, we're getting an additional assignment from our clients to see how we could re-scope the project to bring it in at a lower cost. So in many cases it's actually increasing our fees, because of this value engineering component to it. So it's -- is it something we're watching closely? Absolutely. But to this point it really hasn't pushing the backlog out to the right or cancellations, has not been material for us at all.
Bryan Fast: Thanks. That's helpful. And then, when we look at project margin, we saw similar trends as Q1 where U.S. and Global were up and Canada was down. Is that just related to mix in Canada? And then, how should we think about those trends going forward?
Theresa Jang: Yeah. In this particular quarter there was a dynamic around project mix that had Canada a little bit lower. Our business is always going to be subject to those dynamics, we're talking about its project mix it's our -- its how well we execute. And it's our ability to price these projects well and then deliver on what we've priced it at. And so we have seen an increased focus and discipline around those elements. And so as we look forward, we only talk about being in that 53% to 55% kind of hit it right on the nose in the middle of this quarter. And I would expect that that would continue.
Bryan Fast: Okay. Thanks. That's it for me, great quarter.
Gord Johnston: Great. Thank you.
Operator: We will now take our next question from Ian Gillies from Stifel. Please go ahead.
Ian Gillies: Good morning, everyone.
Gord Johnston: Good morning, Ian.
Ian Gillies: Following on some of the M&A questions and the success you're having with Cardno. How does it change your view about maybe sizing from an employee count perspective? If we went back a year ago it was kind of -- the target was 1,000 people or less, Cardno was obviously substantially bigger. And given your experience today now are you willing to go to an even bigger size if the right opportunity presented itself?
Gord Johnston: Yeah. I think it all depends on exactly as you said the right opportunity. And the reason that the Cardno acquisition is being so successful for us is that, it's the right type of business and the cultural fit was there. And that's so huge for us. And so absolutely, I think if we saw the right firm, with the right cultural fit, transacting for the right reasons that would be additive to us we absolutely would look at it Ian.
Ian Gillies: Okay. That's helpful. And switching to the organic revenue growth side, Global has been very, very strong for five quarters now and you mentioned the term maturity in your prepared remarks. And I was just hoping to get your thoughts around if and when you may think the organic growth in that segment may revert to the mean or towards kind of the corporate average or whether it should stay quite high for the foreseeable future.
Theresa Jang: Yeah. I think Ian that it really has been pretty spectacular this year for Global. I would not expect that over multiple years, it's going to have such high double-digit or organic growth. I think it will normalize. We haven't completed our planning for next year yet, so I can't tell you where we think that will land. But I would suspect that it will not be as strong next year, that it could repeat this kind of organic growth.
Ian Gillies: That's helpful. And thanks very helpful. I will turn the call back over.
Gord Johnston: Sure. Thanks, Ian.
Operator: [Operator Instructions] We will now take our next question from Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan: Hey, great. Thanks and good morning. So I guess on the guidance, I think, when we think about margins for the rest of the year first half looks roughly in line to slightly ahead. How do you – is there any commentary you can provide on kind of the cadence of EBITDA margin for Q3 and Q4, any big picture puts and takes that we should consider?
Theresa Jang: Well, I think generally when you think about the cadence of our earnings including our EBITDA margin Q2 and Q3 generally tend to be the higher margin quarter that's when we are busiest, and Q1 and Q4 slightly less. So I think you – I would expect it to see generally got the same shape this year. That they'll remain quite robust for Q3 would be my expectation, and then come back a little bit in Q4. But our target range of that 15.3% to 16.3% remains in what we're focused on delivering. And I think that that's still realistic for us to be moving towards.
Sabahat Khan: Okay. Great. And then as we think about kind of the bigger picture growth strategy kind of going forward one of the things that you kind of, I think you indicated you want to project kind of the product management side or program management. A few of your peers have really focused on that side of the business. How do you feel about sort of pursuing more work in that area versus design, or is that capabilities you want to add? What's kind of your mix right now? I just want to get a perspective on that piece of the business?
Gord Johnston: Yeah. Our program management is a very attractive piece of the business absolutely. And so we are always looking to expand into that area. When you think about the project that we spoke about there, the Iona Island Wastewater Treatment Plant Project, it's a massive undertaking. And so the program management, there will – it will be for five years or more. So these are really nice long-term long-duration projects where we can make a difference for our client. So it is absolutely an area that we're looking to continue to grow even further Sabahat.
Sabahat Khan: Okay. Great. And then just kind of one last one, I think over the last few quarters you did indicate that you want some projects late last year on the US side, they were just getting going. I guess, with the growth that you reported this quarter should we assume that those bigger wins from last year starting to flow through and those are underway?
Gord Johnston: Absolutely. Yes. That's what we're really seeing. It takes a little while for the funding to get going for the awards that happen and now we absolutely are beginning to generate revenue from a number of these larger US awards that we previously announced.
Sabahat Khan: Great. Thanks so much for the color.
Gord Johnston: Great. Thanks, Sabahat.
Operator: As there are no further questions in the queue. I'd like to turn the call back to your speakers for any additional or closing remarks.
Gord Johnston: Well, just thanks again for joining us today, and we look forward to connecting with you in the weeks and months to come as we continue to evolve through executing on our 2022 plan. So, thanks very much everyone.
Theresa Jang: Thank you.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen you, may now disconnect.